Operator: Greetings. Welcome to Orion Engineered Carbons Full Year and Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. At this time, I will now turn the conference over to Wendy Wilson, Head of Investor Relations. Wendy, you may begin.
Wendy Wilson: Thank you, Rob. Good morning, everyone, and welcome to Orion Engineered Carbons conference call to discuss our fourth quarter and full year 2022 financial results. I'm Wendy Wilson, Head of Investor Relations. With me today are Corning Painter, Chief Executive Officer; and Jeff Glajch, Chief Financial Officer. We issued our press release after the market posted yesterday, and we also posted a slide presentation to the Investor Relations portion of our Web site. We will be referencing this presentation during the call. Before we begin, I'd like to remind you that some of the comments made on today's call are forward-looking statements. These statements are subject to the risks and uncertainties described in the company's filings with the SEC, and our actual results may differ from those described during the call. In addition, all forward-looking statements are made as of today, February 17. The company is not obligated to update any forward-looking statements based on new circumstances or revised expectations. All non-GAAP financial measures discussed during this call are reconciled to the most directly comparable GAAP measures in the table attached to our press release. Additionally, when we comment today on EBITDA we will be referring to adjusted EBITDA. I'll now turn the call over to Cory Painter.
Corning Painter: Thank you, Wendy. Good morning, everyone, and welcome to our earnings conference call. We had a great year in 2022. Many thanks go out to the tremendous Orion team for advancing our sustainability, growth and financial agenda in the face of multiple challenges throughout the year, challenges that we treated as opportunities. We delivered fourth quarter adjusted EBITDA of approximately $65 million, a 25% increase with specialty outperforming our expectations due to the strength of our premium products despite some customer destocking. Moreover, the team delivered record full year adjusted EBITDA of $312 million, our first time breaking the $300 million level. Let me start out by highlighting four key accomplishments. First, as we mentioned, on our third quarter call, we made substantial progress in the 2023 to 2024 rubber negotiation cycle for price, volume and terms. I say 2023 to 2024 because taking Asia where contracts are structured differently out of the equation, over 50% of our tire volume will be on multiyear contracts. Our progress reflects the customer's value, our dependability and quality, and that the global supply demand dynamics continue to work in our favor. For example, in North America, underlying demand is increasing due to on shoring of tire production. Couple that with the need for sustainable returns on invested capital, including sustainability capital, we see carbon black capacity remaining tight. I'll show you more on this a bit later. Based on pricing alone, we expect rubber gross profit per tonne to increase $80 to $100 in 2023. Second, we achieved a number of sustainability related milestones. We kept our third round U.S air emissions project on track, having recently announced its completion. The project execution environment improved in 2022, but still our people, contractors and suppliers worked around many challenges. We were upgraded by CDP, one of the most serious and respected platforms for environmental reporting to be which is the second highest level. This past week we received our scoring by EcoVadis, one of the world's most comprehensive rating tools. Our score improved 5 points to 77 earning us a gold medal and putting us in the 99th percentile, a huge improvement from our score 52 in 2018. We also achieved ISCC certification for our bio-circular grades from three plants. Third, our team increased our dual fuel flexibility in Europe. As of today, we can reduce natural gas usage by about 35% to 40%. The natural gas crisis in Europe may have passed for now, but this provides us with great flexibility as we move forward. Fourth, I am proud to say that the team kept the new plant in China on track despite many challenges. In the fourth quarter, before the COVID zero policy was lifted, COVID finally came to Huaibei, our site was locked out. But with forethought and quick action, we were able to host the construction crew at our plant, meaning they were living at our site. We made sure that workers are well taken care of good food, entertainment and comfortable living accommodations to ensure that worker health and safety were not compromised. Then, after COVID zero was lifted, we had to work through a huge wave of COVID infections. Thanks to their prompt action and dedication, we remain on schedule and budget and are currently commissioning the facility. With these and several other key items, like our announced expansion of acetylene-based [indiscernible] conducted capacity, higher earnings power and increased cash flow. We are on track to a mid cycle adjusted EBITDA capacity of $500 million and are confident in this. With that, I'll turn the call over to Jeff.
Jeffrey Glajch: Thank you, Corning. I have quite a few slides with detailed charts and graphs. I will touch on each briefly, but encourage you to spend more time reviewing them. On Slide 4, consolidated full year results were strong with full year revenue, gross profit per tonne and adjusted EBITDA all record highs. Revenue was up 31% to over $2 billion and adjusted EPS grew to $1.96 from $1.73 in 2021. This slide provides some key full year metrics for our rubber and specialty businesses. I will talk in depth about each business shortly. On Slide 5, you can see the consolidated key factors for the full year 2022. The base price improvements and mix gains across both businesses far outweigh the lower volume which occurred in specialty only. In fact, rubber volume was up 3% in the year. We have a strong FX headwind in 2022, as the average euro to dollar exchange rate went from 118 to 105. The full year EBITDA increase of $44 million occurred despite this $26 million FX headwinds. On Slide 6, looking at Q4, despite a small decline in volume, our continued strong GP per tonne helped us achieve a 25% EBITDA increase and an adjusted EPS increase of over 40%. Slide 7 provides some additional insight of the drivers for Q4 adjusted EBITDA. We continue to see the benefit of base pricing and mix in both businesses and high cogeneration profitability. On Slide 8, looking at specialty and Q4, volumes decreased as we expected, reflecting weaker global and market demand and customer destocking. However, revenue was flat due to improved price realization and mix offset by the aforementioned lower volume. Adjusted EBITDA decreased 18%. Note that gross profit per tonne continues to be strong, both in the quarter and the trailing 12 months. You may recall that at our Investor Day, Corning shared that the earnings power of our highest value, most differentiated specialty products had an EBITDA capacity above $80 million at 40% EBITDA margins. This part of our portfolio delivered as expected in 2022, and this along with price realization and the positive impact of new products helped to improve our per tonne margins by over 20% compared with Q4 last year. Slide 9 shows the key factors affecting adjusted EBITDA for the specialty business compared to last year. As noted earlier, volume reduction was significant, particularly in low value products. The volume decrease was nearly offset by improved pricing and mix as well as higher cogeneration benefits. Slide 10 looks at the rubber business in Q4 with improvements to all metrics on a year-over-year basis. Volume increased in the Americas and APAC, specifically in China and Korea as we believe customer customers valued our reliability and quality. We also continue to benefit from strong pricing. Gross profit per tonne was $350 in the quarter. We continue to see a nice upward trend in our trailing 12-month gross profit per tonne now at 336, up sharply over the past 2 years. This reflects the 2021 pricing cycle, which was driven by our requirement to begin to achieve an acceptable return on our air emissions quality -- our air emissions control related capital and operating costs. As Corning noted, we expect another significant step up in 2023, with price alone expected to move our GP per tonne well above $400. Slide 11 shows the key factors affecting adjusted EBITDA for the rubber business. Strong base pricing and mix were all favorable as was cogeneration income. Before I pass the call back to Corning, I'd like to provide an update on our stock buyback program that we announced in November. Today, we have repurchased over 800,000 shares, which is approx -- which was approximately 1.4% of the shares outstanding. We have spent approximately $16 million or nearly one-third of the approved $50 million authorization. As I noted on the call in November, we expect this buyback to be completed in a couple more quarters likely sometime later this summer. I will turn the call over to Corning to discuss our 2023 guidance, capital expenditures and cash flow expectations and comment on our multiyear growth path.
Corning Painter: Thanks, Jeff. Turning to Slide 12. Despite the uncertainties in the global economy, we are confident in our business and our establishing guidance for 2023 of $350 million to $380 million, up 17% at the midpoint. We provide a split of our guidance for our two business segments. This is not something we would normally provide, but we believe it is particularly helpful for 2023. Note that we have bracketed our 2023 rubber EBITDA figure from what we shared last quarter. This reflects a softening in our projection of miles driven. If European power rates moved up or down by about 20%, the impact on our P&L of all the gives and takes would be about $10 million. Our adjusted EPS guidance range is $2.30 to $2.60 a share, up 25% at the midpoint. We plan to invest approximately $235 million in capital spending. Let's move to Slide 13, and I'll provide some additional color on that. With our third plant now online, we only expect to have about $25 million of U.S air emission controls spending less for our final project. This will probably be the last time we speak about U.S air emission control spending as it will no longer be particularly significant. And as that spending tapers off, we expect to have the bandwidth and cash flow to take on some of our backlog of smaller, high value projects. The slide shows the components of 2023 spending, we've also given you some color commentary for modeling purposes. As shown on Slide 14, we expect significant discretionary cash flow of $200 million to $240 million and free cash flow bracketed around $100 million. As our cash flow increases, we will balance our capital allocation decisions between investing in high value projects, lowering debt and returning cash to shareholders. Looking at Slide 15, we believe that the intrinsic value of the company and our projected cash flows greatly exceeds our share price. With our value creation mindset earned pricing and steady progress on our projects, we are confident that we have the building blocks in place to make a step change in our cash flow and adjusted EBITDA to reach our 2025 goals. Now before I wrap things up, I want to point you to Slide 16. As I mentioned earlier in the call, we firmly believe that our rubber business gains are [indiscernible] baseline from which we can grow. The fact remains that demand continues to outstrip supply for rubber carbon black in many of our key markets. You can see clearly that North America, the supply demand balance has shifted over time, and we expect it to continue to be tight for years to come. Underlying demand in North America is increasing due to plant on shoring of tire production, while high carbon black investment costs to secure a significant new carbon black capacity. In Europe, the situation is complicated by the war and its impact on Russian supply to Europe. Significant amounts of Russian carbon black continue to flow into Europe and remain in some customers supply chain even at some of it now flows to China. For this reason, coupled with an increase in European tire capacity, we believe the European carbon black market will tighten further. In closing, I would ask you to consider a few thoughts. First, 2022 was a record year for us and I believe 2023 is going to be even better. Second, since becoming a public company, we have grown through periods of low oil prices as well as high oil prices, and we have demonstrated through those periods how resilient the business is. We are a specialty chemical company and we are determined to achieve a specialty valuation. Third, due to continued supply demand imbalances for rubber carbon black, we believe our rubber contract pricing and terms are the new baseline. Fourth, our team has proven their dedication and agility during challenging times. We have momentum in sustainability, in our markets, in our new products and with our customers. The Iranian team is well-positioned not only for 2023, but for years to come. Finally, considering all these factors, we are well on our way to significantly increase earnings and free cash flow in line with our 2025 mid-cycle earnings and cash flow capacity goals. The foundation that we have laid over the past few years is now evident in our financial results and outlook. Thank you. Operator, please open the line for questions now.
Operator: [Operator Instructions] Thank you. And our first question comes from the line of Josh Spector with UBS. Please proceed with your questions.
Josh Spector: Yes, hi. Thanks for taking my question. And firstly, I guess, congrats to you and the team on a pretty solid end to 2023 here, a lot of big accomplishments.
Corning Painter: Thank you, Josh.
Josh Spector: My first question -- yes, you’re welcome. So first question, Jeff, in specialty, your guide is kind of close to annualizing fourth quarter. And I mean, clearly, that's a quarter pretty challenging volumes down 20% plus year-over-year. Most companies are saying don't annualized fourth quarter, it's not the right run rate. When I look at some of the things you guys have new capacity coming online, you have maybe some raw material costs coming down. So I'm just wondering, what's your bridge to basically flat to slightly up in specialty next year from where we are today?
Jeffrey Glajch: Well, first of all, I'd say our forecast is more like second half repeating going into this year. I think the markets in China are still pretty challenging, even though COVID zero policy is still behind us. So that's kind of how we see it right now and when we talk to our customers.
Josh Spector: Okay. I guess maybe I dig in a bit more there is what should we be assuming for Huaibei? And what terms of when that comes online and the contribution there? Any changes from your prior comments?
Corning Painter: So I think Huaibei and in specialty, in particular, there's going to be a qualification period associated with that. So I think we'd see more of that contribution in the second half. We are in startup right now. So you could say there would be qualification volumes going out into the second calendar quarter, and you start to see more of that loading in the second half.
Josh Spector: Okay. And then if I could just ask on, I mean, I think Slide 16 was pretty interesting on the supply demand. I don't know if we've really seen a sustained under supply. So what happened, [indiscernible] happen in North America? Are prices still not at a point where you'd see incremental investment closing that gap to prices move up? Is there demand destruction? What's the scenario you see playing out?
Corning Painter: Well, if you look at our curve, we do see some incremental investment going on, right. The situation with [indiscernible] is well understood, very -- a lot of capital going into that additional capacity that is there. I think that creates a bit of an overhang from anyone wanting to make further investments as well as just an assessment there's some other very attractive areas, for example, in conductive carbons. So I think the U.S market is going to remain tart -- tight. I think what we achieved this year is, as I said in the call, like the new foundation, the new base, I do think there's upside front.
Josh Spector: Okay, thank you.
Operator: The next question comes from the line of Laurence Alexander with Jefferies. Please proceed with your questions.
Laurence Alexander: Good morning. So I guess just a couple of follow on to that. So first, when we look at the specialty business, the gross profit per tonne improved by about $120 million, $130 million year-over-year, in a pretty soft environment in China and Europe. What do you think gross profit per tonne will do in a synchronized global recovery or acceleration period?
Corning Painter: So one element of that, just keep in mind -- just correct me, [indiscernible] it was one up about $130 per tonne, I think this is the point that you need to make, or that you attended to make there. So a big element, and our GP per tonne is always going to be mixed. And so what you see here is the great strength in like our most differentiated products. When we see volume coming back in areas like masterbatch and so forth, will have an advantage in terms of greater loading and absorption of fixed costs. But we also see a little bit of the dilutive impact of it. So I think if we were going to say in the $800, $900 range for GP per tonne is probably a fine number in terms of modeling. Jeff, do you want to add anything to that?
Jeffrey Glajch: I think that makes sense. I think if you look at the weighted average of as we see volume coming back in, we could see the GP per tonne in 2023 actually lower than 2022 just because of the low end volume, as you noted.
Laurence Alexander: Right. And then secondly, given you have already have contract -- price contracts extending into '24, can you give a sense for how much net tailwind you already have baked in '24, just in the contracts you've already signed?
Corning Painter: I see that it's somewhat commercially sensitive what we have in them. We do have upside going into '24.
Laurence Alexander: Okay. And then lastly, $450 million of free cash flow on your mid cycle estimates over the next 3 years, can you give a sense for sort of capital allocation, possibility of adding the bolt-on M&A or adjacencies, or kind of how you're thinking about what that flexibility implies for what you can do next?
Corning Painter: So we look at this and aspire to always have a range of options open for us where we've done the work to create so-called real option, buying that settling plant years ago, it took years of work to get it up to lithium ion battery standards, but we're there. And then that creates the option to do something like what we're doing in [indiscernible] right now. So when we look at that, we will make a decision balancing out between returning more cash to shareholders, between continuing to invest in expansions, let's say, debottlenecking that kind of an expansion in our core business as well as opportunities for other growth, which could be something that's a very, very near adjustment. It could be doing more simply in the connectivity space where we are right now. I think there's really a variety of options open to us, Laurence, for growth. And at this point, we're enjoying having those options. We're going to be very careful stewards of this capital, spend it well, it's the shareholders money, not ours, and just leave ourselves those options for right now.
Jeffrey Glajch: Yes, Laurence, one additional thing we could also look as we will to some extent in 2023 is reducing our debt a little bit too.
Laurence Alexander: Yes, excellent.
Corning Painter: That -- if nothing else that allows you that dry powder in the future also.
Laurence Alexander: Okay, great. Okay. Thank you.
Corning Painter: Thank you.
Operator: Thank you. Our next question is coming from the line of Jon Tanwanteng with CJS Securities. Please proceed with your questions.
Jon Tanwanteng: Hi. Thanks for taking my questions and really nice quarter and outlook here. My first one is what really changed in the SCB market compared to when you last reported, I think the outlook? When you gave that -- when you do report the Q3, it was fairly uncertain or even dire maybe. So what came in that wasn't expected? And then as you look forward, is that a continuation of the same strength? Or is it different contracts that you're looking at? Or maybe just an upgrade in the macro outlook that you're thinking? Help us understand the delta there?
Corning Painter: Sure. I'd say really two things. Number one, specialty volume, particularly the premium volume held up well and better than we expected. Number two, the whole EU power cost versus natural gas costs, that balance was better than we expected. And from our perspective, we look now into the coming year, I do not think we're going to receive a repeat of last year, I think the natural gas prices were kind of artificially pumped up by the almost mechanical buying some of these nations to build their storage facilities. So we see the energy markets being a bit more stable in Europe going forward for the coming year. But it was really those two things came in a bit more favorable than we had anticipated.
Jon Tanwanteng: Okay, great. Thank you. And then just looking at the cash flow for next year, it looks like you're getting a fair chunk from working capital releases, which is really nice to see. I was just wondering how much of that is just the natural swings and movements in flow and energy prices versus some kind of permanent reduction in working capital needs, your new contracts or some other thing that's going on? What should we expect going forward?
Corning Painter: Sure, Jon. I think the numbers for 2023 are primarily a permanent reduction in around the terms particularly our rubber contracts. We talked about that a little bit last quarter that along with pricing we were able to negotiate better terms. And that's really where that reduction is coming in, you will see if you look, in the fourth quarter, we saw a reduction in working capital in the quarter, a pretty strong one and that was related to oil prices coming down in the fourth quarter. But 2023 it's really focused on the permanent reduction in -- from our customers -- our customer contracts.
Jeffrey Glajch: And I think one thing that's notable in that is we've moved up the pricing significantly, which would normally increase your working capital in this sense in terms of the AR, and it just shows the importance of improving these contract terms.
Jon Tanwanteng: Got it. Thank you. And then finally, just maybe just to rehash the capital allocation question, I mean, $100 million in free cash flow even after investing in all the growth you want to do. You have a repurchase plan, which won't cover all of it. Are there any other high return options that you're looking at, specifically in terms of either repurchases or organic projects that, that may be starting to look interesting to just help us understand what that may eventually be used for, even if you don't spend it this year '24, '25 and beyond?
Jeffrey Glajch: Well, Jon, I'd like to convey a sense of being a good steward of this cash. So we're not acting like it's burning a hole in our pocket. The easiest outcome for all this and a good outcome for us would be what just added to that last comment would just be reducing our debt ratio. And that's a fine way to take some of that. We will later in this year, as we come towards the conclusion of our first share purchase, decide if we want to do more on that, we might green light some other projects, we have other high return projects, large and small. We'll kind of see at that time. And I think deferring that to see what our business conditions, what's most attractive at the time is, is a positive for us. But at the worst, we simply reduce our debt ratio, which for Orion would be a fine thing to do right now. So we really don't have like a pressing need, we have to move that one way or the other right now. Let's be careful.
Jon Tanwanteng: Fair enough. Thank you for that. Actually, if I could squeeze in one more, I was just wondering how much room is there for pricing increases in '24, just given the scale of supply demand imbalance you're expecting? Is it going to be to the same degree as this year, is that possible? Or is it going to be more muted just given you already locked up, I think like half of your clients in a longer term contracts already?
Corning Painter: Yes. So we've locked up a significant amount for next year, more than half of our volume, not much more, but a little bit more than half for next year. So I don't expect the same sort of a step up particularly in North America. As I said, I think the situation in Europe is a bit more dicey, it was still a decent dependency on Russian carbon black. I think that's the market that could see much more pressure for next year.
Jon Tanwanteng: Great. Thanks again.
Jeffrey Glajch: Thank you, Jon.
Corning Painter: Thanks, Jon.
Operator: Our next question comes from the line of Jeff [indiscernible] with JPMorgan. Please proceed with your questions.
Unidentified Analyst: Thanks very much. Can you remind me when your Ravenna expansion came on the size in Europe? And have you sold all those pumps?
Corning Painter: Yes, that came on in approved for commercial sales, I want to say the end of February and by March that was sold out, end of March.
Unidentified Analyst: And what -- and do you -- those tonnes are allocated to specialty or to your rubber block?
Corning Painter: So we have already committed a certain amount of that volume before the invasion of Ukraine. And after that invasion, there was then suddenly great interest for rubber carbon black made in Europe. So a portion of it had already been committed a lot of that into the specialty market. We were about to do a multiyear agreement on the specialty area when all this happened. And given that we then reallocated almost all the remaining capacity over to rubber. So it's a mix. Its more rubber than specialty, I'd say at this point. And that's a little bit of a change in our plans, but I think it has been a win-win for us and our customers.
Unidentified Analyst: How -- So, did your European volumes grow in the quarter? And shouldn't they grow a lot, given the new capacity you've got?
Corning Painter: Well, so we have that in our last year's results, three quarters of the year. We did not see a big step up in our European contracted volumes, I think perhaps we have a different view of what the appropriate market pricing in that market is and some other people for that's referring now looking forward to 2023.
Unidentified Analyst: Your specialty volumes grow sequentially in the first quarter, or they should be down a lot year-over-year, is that right?
Jeffrey Glajch: Little bit.
Unidentified Analyst: Or like maybe give us a little bit of an outlook for the first quarter? Because your specialty volumes really came in the fourth quarter? Is there the same kind of weakness that you expect in the first quarter?
Corning Painter: I think if we look in general at this coming year, I think like many players, we would say the first quarter might be a little bit weaker than some of the later quarters. COVID zeros over in China, but I -- and the consumer in China is buying a lot of services. But I think the consumer in China is slowed down in terms of, let's say, manufactured goods and real estate there still remains a bit of a challenge. And you have the Chinese New Year and all that. So I think that Q1 for this year will be a little weaker seasonally than perhaps normal and lag, certainly Qs 2 and 3. Jeff, you want to add something?
Jeffrey Glajch: Sure. Jeff, I think if your question maybe I'm over reading into your question is around our Q1 specialty volume relative to last year. Last year's Q1, if you look to last year's volume by quarter in specialty, it came down -- was pretty high in Qs, quite high in Q1 came down in Q2 and then came down in the second half of the year versus both Q1 and Q2. And I think as we've talked about before, a lot of that was on the lower end of the volume standpoint. If we're looking at volume going into 2023, I think starting the year off closer to the second half of the year. So recognizing that low end volume is still not come back yet. I think it's probably an appropriate way to look at it.
Corning Painter: Yes.
Unidentified Analyst: What were your cogen credits for the quarter and the year and where do you book them?
Jeffrey Glajch: So we don't give details on our cogen, but they split between both of our businesses relatively equally. And we talked about, one of the reasons our Q4 was perhaps a little better than our expectation, particularly in the specialty side was that we expected the cogen numbers to come down a little further in Q4 than they actually did. There was a lot of angst in the European market. And there was a lot of concern about that. And it didn't come down as far in Q4 as we expected when we had our call in November. As we look at 2023, as Corning noted, we think the market, the extreme volatility of the market, perhaps has mitigated and will be much calmer in 2023.
Unidentified Analyst: I think your competitors disclose that kind of information. Maybe as the last question, what's your base case for volume growth in two segments? Are you expecting, I don't know 2% or 3% growth in both segments, in volume terms?
Corning Painter: Let me just first speak to the disclosure. I think all in all, our level of disclosure is pretty good. We see some commercial sensitivity on that one. And we gave some guidance in our prepared comments about what a 20% move in power rates might look and how scary or really not scary that would be for us. Other volumes, looking at 2023 with November call noted, that we expected rubber volumes year-over-year to increase about 30 kt, I think that's still a fair number to use at this point in time. With regard to specialty volumes, again, we had a very high relative to the second half the year, much higher first half of the year, volume level last year. I think going into 2023 would probably be reasonable to start the year at the 2020 -- at the second half of 2022 volumes. And then as we go through the year, perhaps you'll see a little bit of improvement on the volume side of specialty. I think year-over-year, given the high, low value volumes we saw the first half of the year, I wouldn't expect the year-over-year improvement in volumes. In fact, I was expecting year-over-year decrease in volumes, again, to be more in line with what we saw in the second half of the year with perhaps an improvement in the second half of 2023. But not to recover what we lost in the first half of 2022.
Operator: [Operator Instructions] Our next question is from the line of Chris Kapsch with Loop Capital Markets. Please proceed with your questions.
Chris Kapsch: Hey, good morning.
Corning Painter: Good morning, Chris.
Chris Kapsch: My first one is about -- yes, good morning. First one is a follow-up on the comment about as much as half of your tonnage and the rubber black side being, I guess, multi year now. I just -- I am assuming that's meaningfully greater than maybe historic norms. Curious about given the dynamic of kind of the desire to fade Russian supplies in Europe, and then the structural tightness in North America, is the propensity of the customers to want to do multiyear deals, is it greater in one of those regions versus the other? Or is it sort of balanced? I'm just trying to understand how motivated they are to do that, or is it really a mutual sort of commitment?
Corning Painter: Look, definitely, it's a mutual commitment, right, back and forth. First of all, Chris, you're absolutely right. It is an increase from historical levels, which was probably more in the 25 to one-third, 25% to 33% of our volumes were on multi year. Typically there will -- a customer cutting across multiple geographies. So in that sense, it really does end up being balanced. None of that prevents us getting together next year and saying, well, I'd like more, right. That's all possible as well. So I think all those remain options.
Chris Kapsch: And I understand the commercial sensitivity, but just to make sure I understood what you said about, when you said you have upside in '24, that's pricing upside as opposed to volume upside with those customers in the lanes. And are you saying the magnitude of the pricing upside you're just not going to talk about? Is it sounds like it's a little bit more pronounced in Europe than North America there?
Corning Painter: Yes, so we’ve a couple of things. First of all, good clarification, Chris. And let's go even one further. Price, of course, has all these multipliers for oil and input costs. So let's talk margin. I mean, margin enhancement. However, the improvements for next year in those contracts are not in the same magnitude of what we achieved this year, just to be clear on that. We took the step change of this year front end loaded that, there is some element of improvement for next year, but I wouldn't want people to be assuming like it's another step change, like what we just achieved for this year. And I wouldn't say there's a big difference in those or how those work from one geography to another. My personal belief -- our belief is we're quite confident. And this is the Russian carbon black still going into Europe. And that remains a vulnerability for the European market. And we might see many wealthy sometime between now and contract season, the desire for non-Russian carbon black to come back into the market, and that would push up pricing for next year, not where we have a contract necessarily, but for those who aren't served under contract right now. I think we'd also see increased need for volume in Europe.
Chris Kapsch: Okay, appreciate that. And then looking at that chart with the structural tightness kind of skewed North America, I guess. You've kind of winding down your EPA investments. I'm just curious to what extent you can focus on sort of, for lack of better term operational excellence to improve your process technology that eke out extra or incremental tonnage to address the underlying growth associated with the end market and the on shoring, and so forth. Is that an opportunity for you and how would that manifest in terms of unit margins over time?
Corning Painter: Yes, Chris, you understand this well. I think that kind of an investment is what could make sense in North America or further in Europe, rather than a new reactor line or a green field. I think the capital costs for those sort of projects could be very -- in my opinion, not be very attractive. I think things like the debottlenecking would be. That's why when you look at our slide, where we lay out our capital spending for next year, we put in about $40 million of debottleneck, small expansions, improvements in plants, up to increasing yield uptime, those sorts of things. We could have instead taken that as more free cash flow. We thought that was a good use of our cash, low risk projects for us. We know the demands there, we're confident in that. So I think that kind of a project you could see. I don't think, however, ourselves and perhaps competitors doing that, I think even with that in North America, it's going to remain very, very tight.
Chris Kapsch: Right, got it. And then just one follow-up on the specialty. I guess that in the mix dynamic you're talking about, like masterbatch has been sort of probably feeling the brunt of this sort of destocking dynamic in the polymers industry. And that being lower margin, ways to enhances with the appearance of mix right now. But the other area where there's been absence of strength is automotive [indiscernible], which varied some of your highest margin application. So I'm wondering, as automotive builds are higher in '23 and some would argue, could be higher for a couple of years as the chip shortage abates. How does that feed into this gross profit per tonne that you're talking about in specialties when it all comes out of the watch?
Corning Painter: Yes, so that obviously is, Chris, a positive for us, as is some of the bottlenecking we've done in that area. So that's in our factors when we came forward with our guidance. But yes, that's a net positive for [indiscernible] and I think we'll be for several years, you have to come. The whole issue of masterbatch, we know that one of our commanders also makes masterbatch, they brought back on their European line. And I think, for our customers who compete with them, that also probably [indiscernible] in a little bit into some of the destocking we've seen this as they've come back in and oftentimes people reenter markets with price.
Chris Kapsch: Thanks for the color.
Corning Painter: All right. Thank you, Chris.
Operator: Thank you. At this time, I'll turn the floor back to Corning Painter for closing remarks.
Corning Painter: Thank you, everyone, for joining us today. I'd like to leave you with this thought. Rubber Carbon Black is not the commodity so we seem to think it is. Yes, most of its sold to international ASTM standards, but is the differentiated chemical. Its largely a regional business rewarding local capacity, and it requires air emission permits, raw materials, in addition to a plant capable of making exacting grades. I would suggest that you look at this business based on the dynamics we've laid out on this call. Thank you very much for your time and have a good day.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.